Operator: Good day, ladies and gentlemen, and welcome to the Parker Hannifin Fourth Quarter 2019 Earnings Conference Call. At this time, all phone participants are in a listen-only mode. [Operator Instructions] Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference maybe recorded. I'd now like to introduce your host for today's conference, Ms. Cathy Suever, Executive Vice President, Finance & Administration and Chief Financial Officer. Please go ahead.
Catherine Suever: Thanks Liz. Good morning. Welcome to Parker Hannifin's fourth quarter 2019 earnings release teleconference. Joining me today are Chairman and Chief Executive Officer, Tom Williams; and President and Chief Operating Officer, Lee Banks. Today's presentation slides together with the audio webcast replay will be accessible on the company's investor information website at phstock.com for one year following today's call. On slide number 2 and 3, you will find the company's Safe Harbor disclosure statement addressing forward-looking statements, as well as non-GAAP financial measures. Reconciliations for any reference to non-GAAP financial measures are included in this morning's press release and are also posted on Parker's website at phstock.com. Today's agenda appears on slide number 4. We'll begin with our Chairman and Chief Executive Officer, Tom Williams, providing comments and highlights from the fourth quarter and full fiscal year 2019. Following Tom's comments, I'll provide a review of the company's fourth quarter and full fiscal year 2019 performance together with guidance for fiscal year 2020. Tom will then provide a few summary comments, and we'll open the call for a question-and-answer session. Please refer now to slide number 5, and Tom will get us started.
Tom Williams: Thanks, Cathy. And good morning, everybody. Thanks for your participation. Looking at slide 5, we had a strong fourth quarter and completed Parker's best year ever in our history. But before I jump into all the results, I wanted to just pause for a minute and reflect on the remarkable transformation of our company. Parker is a very different company now, delivering record performance and better able to perform through market cycles. We have a stronger portfolio of businesses following the three transformational acquisitions we've done in the last three years. If you look at performance and go back to last five years, adjusted operating margin percentage improved 280 basis points and adjusted EBITDA margins improved over 300 basis points. We are better performer over the cycle. We've always been good on cash flow over the cycle, but we're now we're much better on EPS and margins over the cycle. Particularly if you note, our margin performance during the '15 and '16 industrial recession and our margin performance just in last quarter Q4, a negative order growth, they all point to the improved performance that I was referring to. On the three acquisitions, they're going to lift the company up on two levels, portfolio and performance. On the portfolio side, we wanted to add to Filtration, Engineered Materials and Aerospace, these are parts that we've talked about on the air to because of the resilience over the cycle. On the performance side, we're adding three great businesses that are accretive to growth and the margins. Our goal here through the Win Strategy and our Capital Deployment strategy is to build a better business that generates higher growth, margins and cash flow through the business cycle, and you're seeing evidence of that already. Ultimately, this is this is going to result in Parker being a best in class company. So my thanks to all the Parker team members who are listening in, for all their hard work last year, but really over the last several years to get us to this point. If you turn to slide 6, part of what is transforming the company is our business model and the competitive differentiators that makes us special and we'll just talk through these bullets on this page briefly, The Win Strategy, it's our business system, it is the engine behind our results. Our decentralized divisional structure really drives an entrepreneurial spirit in the company. The motion and control technologies that we have really creates the breadth of our portfolio and this strategically positions us to have a big advantage versus our competition. And recognizing the fact that I've talked about before, 60% of our revenue comes from customers that buy from all of those technologies. That's a good evidence that our customers value that breadth of technologies. Our strong intellectual property, 85% of our portfolio, and typically what we ship has some element of intellectual property tied to it. We have long product life cycles, decades long as it go, balanced OEM and aftermarket, and we have arguably the best distribution channel in the motion control space. We have low CapEx requirements. Our lean transformation has really driven a low CapEx to drive our business and that enables us to have a very robust capital deployment process. And we're great generators and deployers of cash and you've seen us in action over the last five years in that regard. So if you turn to slide 7, some highlights from the fourth quarter. Safety continues to be our top priority. Our reportable incidents for the quarter were down 24%. Our high performance teams are helping to drive these results. Our goal is zero incidents. That's not an aspirational goal, it's really an expectation of how we're going to run the company. And the ownership culture that's created from the high performance team process and the start of a safety is going to be applied also to quality, cost and delivery, and that will naturally lift up the performance of the company. All-time quarterly records for the fourth quarter: total segment operating margin, total Industrial segment operating margin, net income and EPS. Couple of notes on the quarter, sales were a negative 3.5% that was composed of a negative 2% and organic and a negative 1.5%. Our currency orders declined 3% against some tough comparables and we had a fourth quarter record on Industrial International segment margins as well. My thanks to the International team for a great job in the quarter. So now, I want to turn to full-year results for FY ‘19. We had a number of all-time records, of course, we only do records on a reported basis, so they are sales, total segment operating margins, net income, EPS and operating cash flow. Couple of highlights for the full year, we came in on organic growth of 2.6% organic sales outpacing global industrial production. We had excellent improvement in segment operating margin and EBITDA margins versus the prior year. Adjusted EBITDA margins, if you go back to when we acquired CLARCOR, we were 14.7%. We're now at 18.2%. From an EBITDA dollar standpoint, we were $1.7 billion and now we are at $2.6 billion. That growth in margins, that growth in EBITDA dollars has really helped enable us to do both LORD and Exotic acquisitions that we've recently announced. We achieved 17% segment operating margins, a year ahead of our original target. And the first time in our history, 17% a number that we're extremely proud of and obviously we're not stopping there, but that was a huge milestone for us to reach. Tremendous cash flow generation, resulting in $1.7 billion in operating cash. When you do it on a percent basis, we came in at 12.1% CFOA, and excluding the pension contribution, that will be 13.5%. Switching to cash and capital deployment, the goal and you've heard me talk about this, is to be great generators and deployers of cash. So, on the cash generation side, we ended FY ‘19 at 115% free cash flow conversion. That makes 18 consecutive years of free cash flow conversion credit of 100%. And on deployment side, it was a big year. Dividends, our stated target is to pay out 30% to 35% of net income. And as a result of our growth in net income, we increased annual dividends paid out by 13%. We had our 63rd consecutive year of annual increases to dividends paid out, a record we're very proud of as well, and one that we intend to keep. We announced two transformational acquisitions. And on the share repurchase side, we did $200 million on our 10b5-1 program and we purchased $600 million on a discretionary basis. Debt reduction is going to be a higher priority going forward. Our target within three years is to get 2.0 multiple from a gross debt to EBITDA multiple, and we'll pause the M&A activity until we get there. Just a few comments on the acquisitions that are really going to generate great value for our shareholders. We announced in the last 90 days, the acquisition of LORD Corporation and Exotic Metals; transformational to our portfolio, adding to our Engineered Materials business and on the Aerospace group with high growth and high margin businesses. When you look at the pro forma EBITDA margin, take legacy Parker with LORD and Exotic in your forecast set out for five years, we're going to improve EBITDA margins by more than 400 basis points over that five-year period of time. That's really going to help propel us to be in that top quartile company that we desire, and both of these companies I am referring to, LORD and Exotic, are both great cultural fits and we expect a seamless integration. Now turning to the outlook, we are issuing guidance for FY 2020. We've got moderating market conditions, we're forecasting sales of negative 3% to flat, so minus 1.5% of midpoint and I'll talk more about that during the Q&A. I think the effectiveness of the Win Strategy is really being observed. When you look at our FY '20 guide, historically on negative organic growth, we would be reducing margins, But with this guidance, we're expanding segment operating margins and we're posting a record EPS. Adjusted EPS is at $11.50 to $12.30, or $11.90 at the midpoint, business realignment of $20 million, and we did not include LORD or Exotic in this FY '20 guidance. We will of course update guidance after they close. So going forward, really if you look at the FY '19 results, FY '20 guide, coupled with the momentum that we have with the Win Strategy in our recent acquisitions, we're well on our way to achieving our FY '23 targets. And just to remind people, those targets for FY '23 are sales growth of 150 basis points greater than global industrial production growth over the cycle, segment operating margins of 19%, EBITDA margins of 20%, free cash flow conversion greater than 100%, and EPS CAGR over that time period of 10% plus. The actions we're taking, the dedication of our global team members are really helping to generate strong returns for our shareholders. And with that, I'll hand it back to Cathy for a more detailed review on the quarter.
Catherine Suever: Thanks, Tom, I'd like you to now refer to slide number 8. This slide presents as reported and adjusted earnings per share for the fourth quarter and full year fiscal 2019 compared to 2018. Adjusted earnings per share for the fourth quarter increased 3% compared to the prior year, reaching $3.31. Adjustments from 2019 as reported results totaled $0.14 including business realignment expenses of $0.04 and LORD acquisition and integration expenses of $0.10. This compares to fiscal 2018 adjustments of $0.60 for business realignment expenses, CLARCOR costs to achieve, and net loss on sale and write-down of assets and a US tax reform adjustment. For the full year adjusted earnings per share for fiscal 2019 was $11.85, an increase of 14% compared to fiscal 2018. Adjustments from the 2019 as reported results totaled $0.37. This compares to fiscal 2018 adjustments of $2.59. The details of all of these adjustments are included in the reconciliation tables for non-GAAP financial measures. Moving to slide number 9, you'll find the significant components of the $0.09 walk from prior-year fourth quarter adjusted earnings per share to $3.31 for the fourth quarter of this year. We gained $0.04 from lower corporate G&A, interest expense and other expense. Lower income tax expense accounted for $0.06 and lower average share count contributed $0.11. Offsetting these gains, segment operating income decreased by $0.12 as a result of lower volume, with sales down 3.6% versus the prior year quarter, and also as a result of higher development costs incurred in our Aerospace segment. Moving to slide 10, you'll find the significant components of the $1.43 walk from adjusted earnings per share of $10.42 for fiscal 2018 to $11.85 for this year. The largest improvement came from segment operating income. This accounted for an increase of $0.79, with total segment margins improving by 100 basis points year-over-year. $0.14 came from lower interest expense. Lower income tax expense accounted for $0.19 and reduced average shares contributed $0.31. Slide 11 shows total Parker sales and segment operating margin for the fourth quarter and full year 2019. For the fourth quarter, organic sales decreased year-over-year by 1.9% and currency had a negative impact of 1.7%. Despite a decline in sales, the fourth quarter total segment operating margin on an adjusted basis improved to 17.6% versus 17.5% last year. This improvement reflects productivity improvements and the benefits of synergies from acquisitions, combined with the positive impacts from our Win Strategy initiatives. For the full year, organic sales increased by 2.6% and total segment operating margins increased 100 basis points to 17.2%. Moving to slide 12, I'll discuss the business segments starting with Diversified Industrial North America. For the fourth quarter, North America organic sales were down 3.2%. Even with lower sales, operating margin improved nicely for the fourth quarter to 18.4% on an adjusted basis. North America continued to deliver improved margins, which reflects the hard work dedicated to productivity improvements as well as synergies from acquisitions and the impact of our Win Strategy initiatives. For the full year, North America organic sales increased 1.8% and adjusted margins increased 30 basis points to 16.9%. I'll continue with the Diversified Industrial International segment on slide 13. Organic sales for the fourth quarter in the Industrial International segment decreased by 4.1%. Currency also negatively impacted the quarter by 4.5%. Despite the lower sales, operating margin for the fourth quarter of 2019, on an adjusted basis, improved 30 basis points to 16.4% of sales. This margin performance reflects our team's improved operating cost efficiencies from realignment initiatives and the benefits of the Win Strategy. For the full year, organic sales for Industrial International increased 1.1% and adjusted operating margins increased by 110 basis points to finish the year at 16.4%. I'll now move to slide 14 to review the Aerospace Systems segment. Organic sales increased 6.5% during the fourth quarter primarily due to commercial and military OE growth, along with growth in commercial aftermarket. Operating margin for the fourth quarter decreased by 200 basis points due to higher development costs in the quarter and a lower mix of military aftermarket sales as compared to the prior year. For the full year, our Aerospace Systems segment delivered great organic sales growth of 8.5% and an impressive 210 basis point improvement in adjusted segment margin, finishing the year at 19.4%. On slide 15, you'll find the differences in fiscal year 2019 earnings per share between our full year guidance going into the quarter compared to the actual results from the out performance in the fourth quarter. Final full year earnings per share on an adjusted basis was $0.25 higher than previously guided. At the operations level, segment operating income finished $0.01 higher than expected driven by productivity improvements despite the lower-than-expected sales. Lower corporate G&A, interest and other expense resulted in an additional $0.06. We benefited $0.16 from lower income tax expense due to discrete tax adjustments and additional benefits resulting from new regulations related to US tax reform recognized in the quarter. And lastly, we benefited $0.02 from lower average shares. On slide 16, we report cash flow from operating activities. We had strong cash flow this whole year. Full year 2019 cash flow from operating activities was a record $1.73 billion. When adjusted for a $200 million discretionary pension contribution made during the first quarter, cash flow from operations was 13.5% of sales. This compares to 11.2% of sales for the same period last year. On slide 17, we show a history of Parker's free cash flow conversion rate. For the 18th consecutive year, Parker generated free cash flow conversion of greater than 100%, finishing fiscal year 2019 at 115%. Parker is great at cash generation even during growth periods. We're very proud of our team for their good management of working capital. Moving to slide 18, we show the details of order rates by segment. Total orders decreased by 3% as of the quarter ending June. This year-over-year decline is a consolidation of minus 4% within Diversified Industrial North America, minus 8% within Diversified Industrial International and a positive 10% within Aerospace Systems orders. The full year earnings guidance for fiscal year 2020 is outlined on slide 19. Guidance is being provided on both an as reported and an adjusted basis. Total sales for the year are now expected to decrease to 1.5% compared to the prior year, within a range of minus 3% to 0%. Anticipated organic growth for the full year is forecasted in approximately the same range at a midpoint of minus 1.5%. There is no prior-year acquisition or divestiture impact and the currency impact is expected to be minimal. We've calculated the impact of currency to spot rates as of the quarter ended June 30, 2019. We've held those rates steady as we estimate the resulting year-over-year impact for fiscal year 2020. You can see the forecasted as reported and adjusted operating margins by segment. At the midpoint, total Parker adjusted margins are forecasted to increase approximately 20 basis points from prior year. For guidance, we are estimating an adjusted range of 17.2% to 17.6% for the full fiscal year. The full year effective tax rate is projected to be 23%. For the full year, the guidance range on an as reported earnings per share basis is $11.38 to $12.18 or $11.78 at the midpoint. On an adjusted earnings per share basis, the guidance range is $11.50 to $12.30, or $11.90 at the midpoint. The adjustments to the as reported forecast made in this guidance include business realignment expenses of approximately $20 million or $0.12 per share for the full year fiscal 2020, but the associated savings are projected to be $10 million. Some additional key assumptions for full-year 2020 guidance at the midpoint are: sales are divided 47% first half, 53% second half; adjusted segment operating income is divided 46% first half, 54% second half; adjusted earnings per share, first half, second half is divided 45%, 55%. First quarter fiscal 2020 adjusted earnings per share is projected to be $2.66 per share at the midpoint, and this excludes $0.04 of projected business realignment expenses. On Slide 20, you'll find a reconciliation of the major components of fiscal year 2020 adjusted earnings per share guidance of $11.90 per share at the midpoint compared to the prior year of $11.85 per share. The increases include $0.07 from corporate G&A, $0.55 from other expense, and $0.13 from lower average shares. Other expense includes $0.35 of interest income from the proceeds of the bonds that we issued in June 2019, which are being held for the LORD transaction. The remainder in other is primarily related to numerous unusual charges incurred in fiscal 2019 that are not expected to repeat in 2020. Offsetting these increases is a $0.04 per share decrease from segment operating income. The operating income impact from the drop in sales volume will be partially offset by margin improvement throughout the year. The remaining decreases are $0.30 from higher income tax expense and $0.36 per share from higher interest expense. The decrease due to higher income tax expense is from discrete tax items in 2019 that we do not forecast in fiscal 2020. The change in interest expense includes an additional $0.47 in interest cost from the bonds issued in June, partially offset by anticipated lower commercial paper outstanding as compared to fiscal year 2019. This forecast does not include any results from our announced acquisitions of LORD Corporation or Exotic Metals Forming Company. We ask that you continue to publish your estimates using adjusted guidance for purposes of representing a more consistent year-over-year comparison and that you do not include the pending acquisitions until we are able to close the transaction. This concludes my prepared comments. Please turn to slide number 21. I'll turn it over to Tom to provide summary comments.
Tom Williams: Thanks, Cath. So, just a couple of quick comments. We're very pleased with our continued progress, projecting record year of earnings in FY '20, and we're well on our way to delivering of being a top quartile company and being that best-in-class company that we are aspiring to be. My thanks to the global team for all their hard work, their dedication, the results from FY '19 and we're looking forward to a bright future together. And with that, Liz, we're happy to start the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning. Nice quarter. I guess just first question, Tom, if you could just provide some context around how you're thinking about the organic growth drive for 2020, what's implied for sort of first half versus second half? And then you know, what you’re seeing in terms of, you mentioned channel inventory before, how long that continues to weigh on results versus clear the channel? So I guess start there and then - yeah, I guess, why don't we start there? That's fine.
Tom Williams: Okay, Jamie. It's Tom, Happy to do that because that's obviously probably top of mind for everybody. So let me take you through our assumptions and obviously this process that we do is we're one of the first companies to start talking about calendar '20. We take a lot of input from customers, distributors or divisions of course in our own economic models. So, the organic growth that we talked about at the midpoint at minus 1.5%, that turns into our first half at minus 4%, which really mirrors our current order entry, on the second half, a plus 1%. So on the second half, we have a slightly better volume, little bit easier comps. If you look at that minus 1.5% organically on a regional basis, it's North America at minus 1.5%, international at minus 4.5% and Aerospace at a plus 4.5%, I am kind of rounding to halves here as I go through it. While it's not a predictor of our future, there's another important data point that we have looked at and that's our pressure curve history. If you look at the last 10 years, anytime to 3, 12 [ph] curve has gone less than 1, it tends to go down less than 1 for a 12 months to 18 months duration depending on where that particular business cycle is. Our current pressure curves have been less than 1 for about 7 months. So, this guidance assumes that the 3, 12 curve crosses 1 approximately 15 months from when it started, so not too different from what we have seen in other cycles. Of course, and that's our best estimate at this time. Let me take you through the markets that we see for FY '20, and I'll give you a little color as to what we think is driving the second half. I'm going to make just a quick clarifying comment like I usually do, and on our list markets and positive neutral negative, this is our forecast for the market. Don't take my comments as I'm speaking about the entire market, this is just how Parker is going to perform in the market. So on a positive side is Aerospace, forestry and life sciences. Neutral, which is a pretty big section, agriculture, construction, distribution, modern tariff, material handling, oil and gas, power gen, refrigeration, semi con, telecom and ground military and defense. On the negative side is automotive, engines, heavy duty truck, machine tools, marine, mills and foundries, mining, rail and tires and rubber. So what's driving the markets in our view in the second half besides some help on compare -- easier comparables will be the one part, which is what you were alluding to earlier, Jamie, on distribution. The destocking that we are seeing early in Q3 and Q4 will continue for the first half, but at a diminishing rate, and then will be pretty much of an equilibrium in our view on the distribution channel come into this calendar year and that turns to a slight positive for the second half. Life Sciences will be positive for us in the second half as well as power gen turning from negative to positive in the second half. So that's one category, things that we see moving to positive in the second half. There is another big category of markets that are currently negative that we see is going to neutral in the second half, so they don't necessarily provide us tailwind, but they become less of a headwind, obviously. So the negative to neutral ones, first half to second half I'm just going to list these out, are construction, oil and gas, semi con, automotive, machine tools, mining, rail, mills and foundries, again, and tires. So I'm pretty optimistic. When you look at the 312 curves, they are less than 1, but they are flattening. So that's a positive indicator. When you look at our four phases of the business cycle, we have about two-thirds of our markets that are in Phase 3, Phase 3 being the accelerating decline phase of a four-phase business cycle. And what that signals to us is that we're moving our way through the soft patch because the next phase after accelerating decline is decelerating decline, which means you're starting to move out of that, and then the next phase after that is growth. So in our view, there is lots of self-help here. The markets are going to turn, and it wills tart to help us, albeit a little bit later in FY '20, but will start to provide some small tailwind. The Win Strategy is producing margin expansion for us in a negative organic sales environment. We've got the two transformational acquisitions in LORD and Exotic that bring in higher growth in margins. And just about the time that we close these deals and really get the integration really up and running is also going to be about the time these markets start to come back and start to give us some slight tailwind. So I think that all is going to align very nicely. So I feel good about '20 and I think it all comes back to the message I started the call with that we're positioned well for the cycle, and we're going to continue to try to be the best-in-class company. So I don't give a follow-up, Jamie, or not?
Jamie Cook: No, I mean, I think I guess, just if I can have a follow-up. The implied margin resilience that we're going to see in the North American markets in 2020 even with the sales decline, just any color in particular on that and then I'll get back in queue.
Tom Williams: Yeah. So we have North America going up about 20 basis points versus '19. It's really going to be a continued win strategy efforts, the productivity that we've got, the kaizen activity that we have is all creating the capacity for us to be more resilient on the margin side. And North America's volume being down, not as bad as International, they are able to hold up the margins and in fact expand margins because of that.
Jamie Cook: Okay. Thanks. I'll hop back in queue.
Catherine Suever: Thanks, Jamie.
Operator: Our next question comes from the line of Mig Dobre with Baird. Your line is now open.
Mig Dobre: Good morning, everyone. So Tom, I want to go back to your comments early on, when you talked about the transformation of the business, this is something that we spent some time speaking to investors about. And one of the questions that I think we often get that maybe you can help us with is when you're looking at your business mix and you look at what traditionally have been perceived as your key customers and key drivers, heavy machinery OEM build, how is your business looking today, especially when you count in LORD and you are counting in CLARCOR as well as Exotic versus, say, the way it looked in fiscal '15 in the last cycle or even the cycle prior to that? Because there is a business mix aspect here that I think is perhaps under appreciated even by me.
Tom Williams: Yeah, I think you're right. I mean that was, as you know, Mig and everybody else that's been listening on the call, almost all of my investor presentations, when I talked about capital deployment, I start talking about we're going to be the consolidator choice in this space because we like the space and we are number one. So we want to continue to add that. But all things being equal, we'd like to invest a little heavier in filtration, aerospace, engineered materials and instrumentation, you've seen us do three out of the four so far. And we are on purpose trying to balance out that density that you referred to that we traditionally had maybe in the Fluid Power side of the company on our fluid connectors and our motion technologies and add filtration, which is now one of our largest groups. And with Lord, Engineered Materials would be one of our larger groups, and add to Aerospace which balances out the short cycle nature of the company with a high margin business, that's got a great growth trajectory. So clearly that portfolio, since we've added $3 billion of revenue in roughly three years, that goes into those targeted parts of the portfolio that will make us clearly more resilient. You can't ever be - not have any reaction to the business cycle, everybody feels it. But can you dent the lows versus what you had in the past. And I think you see evidence of that. We held margins almost virtually flat during the industrial recession of '15 and '16 on the margin performance in Q4. Those are pretty phenomenal results and that was even before, of course, Q4 had CLARCOR in it, but it's before adding LORD and Exotic. So the mix is going to continue to help us and the Win Strategy is going to continue to help us too, because we're not stopping at 17% operating margin.
Mig Dobre: I see, okay. And then if I may ask a question on Industrial International, obviously your full year guidance implies organic growth decline. I'm presuming you're sort of thinking that orders kind of keep in line with your organic guidance. Two years in a row now of contraction in International, so from your perspective, what sort of environment are you really baking into your outlook? And I am to some degree surprised that you're not announcing some kind of restructuring of sorts, addressing basically the second year of volume decline here. Maybe you can comment on that and how your cost structure has changed in international with everything that you've done? Thank you.
Tom Williams: Yeah, so on the restructuring side, we have been restructuring International since FY '14 and we've been on a very aggressive restructuring getting International margins almost to the levels of North America, if you look at last year, 16.4% versus 16.9%, and a lot of either falls for a long time. Never thought we could ever do that. So International has been moving because of the restructuring that we've been doing, and we've been creating a much more agile organization and the mix of improving distribution versus OEM. So that's been helping International. So we don't feel the same need at least at these levels of sales decline to trigger some new level of restructuring. We've got the organization to where it needs to be, obviously we will do the normal variable cost reductions in temps and over time and voluntary lack of works, those type of things. But we think we've really done a great job internationally and that's why you see the margins what we've had. I'm not sure I hit everything you wanted to cover, Mig, then.
Mig Dobre: No, you kind of did. I guess I'm wondering, in some ways, it's a little bit unusual to see two years in a row of, say, orders or volume decline here. That's actually worse than what happened in 2015, right? So I'm trying to understand kind of that dynamic and also trying to understand if your cost structure here has become more variable than it's been in the past. That's kind of where I was going.
Tom Williams: Yeah. So Mig, that was the part of your question I missed. Yeah, International did grow at least minus 1% last year, but it was the first to start to go down, and so it felt a little bit sooner. So International declined organically last year, of course it had a lot of the currency, minus 5.5 [ph] on currency. But we do -- I think we've been realistic with International. We've got International down about 8.5% the first half and then starting to work its way by the time we exit Q4 to almost a neutral type of positioning in Q4. So it was first to go in, and I think it will be fine. And I think the guide is pretty realistic in what we have for International.
Mig Dobre: All right. Thank you.
Catherine Suever: Thanks, Mig.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs. Your line is now open.
Joe Ritchie: Thanks, good morning.
Catherine Suever: Good morning, Joe.
Joe Ritchie: So I guess my first question and just it's going back to the inventory comments from earlier. I guess as you think about the next couple of quarters, it sounds like you're expecting destock to continue. I guess in that context, have you heard or have you experienced any distributor like price adjustments or how are those conversations with your distributors occurring on the pricing side just given the backdrop?
Tom Williams: So let me - I'll start with the inventory, and let Lee chime in on the pricing side of things. So with at least North America, we do have good visibility into that sales out and sales-in that I referred to in the last call. And so we look at North America, we see about a flat growth organically with about 200 basis points of destocking. So North America came in at about a minus 2% on distribution growth. That was about minus 300 bps of destocking in Q3. So we saw a little bit of improvement, about 100 basis points of improvement. And that's really was our thinking as we go into the first half of '20, so we have about another 100 bps every quarter, hence six months to get through the destocking. And that's obviously through conversations that we have with our distributors and then we were plotting, like I referred to last quarter, for plotting that sales-out, sales-in, so we can get a little better visibility of the trend. I'll let Lee comment on the pricing side.
Lee Banks: Just commenting on distribution. Speaking about North America, I would - as Tom said, it was mixed during the quarter, really depends on the region and destocking continue. I'd say on the pricing side, if you're asking if there still pricing power in the channel, I'm not quite sure exactly what you were asking. We're still in a slightly inflationary environment. I would say that there is still pricing taking place, and which is still promising through, there's still a lot of CapEx activity still taking place at this point in time, which is a good indicator that, and I'm speaking mostly of North America that there's still a lot of positive momentum going on.
Joe Ritchie: Yes, Lee, my comment was more around like whether your distributors were pushing back on price at all in this backdrop. And really kind of trying to understand whether that has any implications on the leverage in your North American business.
Tom Williams: No, there is really none of that taking place right now.
Joe Ritchie: Okay. Got it. And then maybe just my follow-on, and just thinking about the trajectory of the aero business, the aero obviously continues to do well from an order perspective. If you take a look at the growth expectations for 2020, and they seem a little light based on the trends that we've been seeing. And so maybe some commentary around that as we head into 2020?
Tom Williams: Okay. Joe, it's Tom. So on orders, remember, orders are long cycle or 12 months and they tend to be lumpy and you don't always translate the due dates directly out into the next fiscal year, but we were plus 10% like you've seen. That composition was minus 5% on commercial OE, plus 42% on military OE, plus 13% on commercial MRO, and plus 24% on military MRO. So some of the things that really drove some of the big spikes for F-35 on the military OE. On the commercial side, it was 737 and 787, and really kind of a mixture of A 220 [ph] a pretty nice broad base mixture on the MRO side. And the military MRO, a lot of fighters F-18, F-119, F-101 is a bomber, but some pretty good progress on orders there. For sales, our forecast is about 4.5%, that composition is commercial OE at plus 3%, military OE at plus 2%, commercial MRO at plus 4%, and military MRO at plus 10%, and that's our best view at this moment.
Joe Ritchie: Appreciate the color.
Catherine Suever: Thanks, Joe.
Operator: Our next question comes from David Raso with Evercore ISI. Your line is now open.
David Raso: Hi, good morning. Yes, my question focuses on the sensitivity of your margin guidance to volumes. What's striking me is in the first half of the year, you have total company sales down 4% to 5%, but implied margins up 10 bps. The second half of the year, your revenue is up and the margins are up 30 bps, not terribly differently. It doesn't seem like there's much volume sensitivity to the margin improvement. Now I do appreciate the year ago comp, mix, you know, currency can mess with the analysis a bit, but I'm just trying to understand is that accurate that where you see your margin improvement coming from really isn't that volume sensitive?
Tom Williams: Well, if I take a tour of Parker, I'm just doing total MROS, so we're in that minus 15% to minus 20% range for the first half. And if I look at the second half, it's like plus over 70% now. Again, it's the loss on numbers, you got relatively modest sales increase. So you are seeing some pretty nice lift in that second half as far as MROS go.
David Raso: Well, I am just seeing the opposite, Tom, saying you would think the second half of the year has got to really carry the load on the margin improvement, because your distributors aren't destocking the same way. You have volume overhead absorption that's improving because you have revenues up, not down. But at some sense what striking me is interesting that you're almost saying I can grow margins nothing regardless of volumes, but it's -- I won't use the word impressive, but yeah, if you can do it, it is impressive that you can have down volumes up, margins and up volumes up margins. I mean, just interesting to see this, obviously if you really can do it without a much volume sensitivity, it makes the credibility of the guide improve. So I'm just trying to understand, am I reading it right. I know I'm doing the math right, but I'm just trying to figure out other clear things in the margin improvement this year that you would say, yeah, it's really not tied to volume at all, have confidence that we can grow margin even when bottoms are down because that's what you're implying in the first half.
Tom Williams: You're absolutely reading it right and that's part of the transformation that I spoke to at the beginning of the call. The combination of all the things we've been doing on lean, the kaizen activity really started heavy for us in the fall of last year, the Win Strategy simplification, all those type of things, the inefficiencies that we've worked through, the CLARCOR synergies that are really kicking in. All those things and of course, the portfolio shift as far as things we're adding to the portfolio, are enabling us to be better our margins when we have softness on sales. So yes, we feel good about that.
David Raso: Yeah. I wasn't sure. Maybe the part of the reason is the price cost is, you know, particularly helpful over the next couple of quarters, because you still have some lag benefit from prior price increases, but now you get the benefit from a lower cost and that kind of goes more neutral in the second half. It doesn't seem like in the channel, you put much of a price increase if any through July 1. So I'm not sure how much benefit maybe in your fiscal second half you'll have on price, but the carry over from the prior price increase, it should still be there the next six months, and then maybe a benefit from lower costs. So, I am not blessing it here, but just it's impressive, if you can do that where you're not that volume sensitive. I'm just trying to get a handle on -- it seems that you believe it just with our couple of buckets to make us feel good about, that's not volume sensitive. We know what the price cost is and we know we have some inefficiencies that we're still lingering at CLARCOR that aren't there in the fiscal first half of '20. That's all I was driving at.
Tom Williams: Yeah, I think you're right, you hit on all the buckets. The inefficiencies that we have at CLARCOR were clearly more pronounced in the first half of '19. And so that helps us as we look at '20. Some of the carry over on pricing is a little bit better in the first half. In general, if I was to do the total pricing for the year, it would be margin neutral, but we do get a little bit of help more in the first half. So I think you're right.
David Raso: All right. I appreciate the color. Thank you.
Catherine Suever: Thanks, David.
Operator: Our next question comes from Nicole DeBlase with Deutsche Bank. Your line is now open.
Nicole DeBlase: Yeah. Thanks, good morning.
Catherine Suever: Good morning, Nicole.
Nicole DeBlase: So, I just wanted to start with the first quarter. So the color between the first half and the second half was really helpful. But if you guys could give us a sense of what's baked in from an organic and a margin perspective in that $2.66 midpoint guidance for 1Q that would be helpful?
Catherine Suever: Sure, Nicole. I'll help you here. We're anticipating organic decline of about 3.5% for the first quarter with just a minimal impact from currency, say 0.5 point of 0.5% currency. But as you look at the margins, we're expecting year-over-year for North America to see improving margins year-over-year. Again that relates to some of the inefficiencies we saw at the first half of last year that are improving. International, with the decline, will have lower margins than last year, a nice decremental though there, and Aerospace will see improving margins.
Nicole DeBlase: Okay, got it. That's helpful. Thank you. And then secondly on Aerospace margins, it looks to me like you've embedded about 50% incrementals in 2020 guidance. Just curious how much R&D maybe contributes to that, the factors driving the pretty substantial year-on-year increase in margins to about 20%.
Catherine Suever: Yeah. A lot of that or a good portion of that has to do with the development costs and what we incurred in fiscal '19 compared to what we anticipate in fiscal '20 and especially what we incurred in the fourth quarter. So in the fourth quarter of this year, our development costs were 7.5% of sales. That was pretty high. Our overall average for the year was 5.6%. In fiscal year '20, we expect development costs to be less than that and we're forecasting in the range of 4.5% to 5%. So lower development costs are driving some of that incremental, along with other continuous improvements the teams are making to implement productivity and Win Strategy initiatives and just improving the processes in the shops and getting more productive.
Nicole DeBlase: Okay, got it. Thanks, I'll pass it on.
Catherine Suever: Thanks, Nicole.
Operator: Our next question comes from Andrew Obin with Bank of America. Your line is now open.
Andrew Obin: Yes, good morning.
Catherine Suever: Good morning, Andrew.
Andrew Obin: Can we just touch, Just going back to the strategy question, can we talk about internal capital deployment? And it's really a two-part question. A, how do you think deploying capital in terms of sort of capital and labor, and specifically on capital, if you could talk about stuff sort of implementing robotics, 3D manufacturing, how much money are you spending, how much impact is it making? And the second question is, given all the trade tensions, how are you guys thinking about deploying capital by geography, North America, the rest of the world, and what are you seeing in your supply chain? I know, it's sort of an expansive question, so that would be the only one from me.
Tom Williams: Andrew, it's Tom. So let me start with the CapEx side. So I think a good round number for to think about is in CapEx and this would be before for the fund organic growth as well as productivity is around 2%. And we are very active on robotics and additive. I would just tell you that our strategy on automation robotics is to do kaizen first. We believe it was not automate waste, we're going to do kaizen, we're going to streamline the processes and optimize what we have and then we'll automate the remaining processes. And so there is a little bit of a learning curve on learning all the automation, we've got a lot of great partners that we're working with, and we've had a number of summit sessions with all of our manufacturing engineers, and I would say the organization is really jazzed up about it. And I think this is a good strategy, we're putting kaizen first, then automation. And as part of why I think you've seen the margin do as well as ahead is the kaizen activities are just starting to gain traction. So more robotics coming forward, but we will invest in that, that will be in that 2%. And because of our lean transformation, we don't need as much dollars. We can divert some of that what we've traditionally done into more CapEx towards robotics. On the additive side, that's a big deal to us. We've got three centers of excellence, so we've decided strategically that we're not going to have -- this is not the kind of process you're going to have 80 of them, like one for every division. So we have two centers of excellence for Aerospace and we've got one for the entire company, and that one for the entire company really acts as an incubator for all the Industrial divisions as well as also for Aerospace, and we're working on proprietary material powder blending and processes. So there's a lot of good work that we're very close to having our first production parts both industrially and Aerospace to make it into the field utilizing additive. I'd tell you, the other thing on additive is designing for additives. So we have a program working on designing it for additive world, because it's very important to design the next generation of products thinking about an additive manufacturing process versus designing it in the subtraction world. You were asking about supply chain, we've always been, view on supply chain, and so we like to make, buy and sell in the region for the region. So maybe you're asking about China, do we feel still good about China? And we really do, I mean we've not over positioned ourselves in China where we think we're over extended. We still have low-cost centers there that we're very happy with. China is still a huge country for us and we need to be there to service that. And so I don't think you can see us doing much big CapEx shifts like building a bunch of plants in Indonesia. We have the footprint we need and maybe just some minor tweaking up lines, but it will be immaterial.
Andrew Obin: And I'll just sneak in one more follow-up on collaborative robotics. I know that you had a big rollout program, I believe you did. Where are you in that terms sort of kaizen versus actual physical rolling out of capacity?
Tom Williams: Heavy on the kaizen activity, early days still in the collaborative robots. We have several, lots of them in all of our factories, but we particularly strategically emphasized kaizen's first. You talk to most senseis that are experts in this kind of transformation, they will encourage to do the same thing. And it's a lot faster dollars to the bottom line and a lot more CapEx friendly. And collaborative robotics is really CapEx -friendly as well. It's going to be a light touch on CapEx. I don't see that as an issue, but the thrust has been, let's do the kaizen, let's get the processes right first.
Andrew Obin: Really appreciate it. Thank you very much.
Catherine Suever: Thanks, Andrew.
Operator: Our next question comes from the line of Ann Duignan with JPMorgan. Your line is now open.
Ann Duignan: Yeah, hi. Most of my specific questions have been answered, but Tom, maybe I'll throw this one at you. If you look at where your end markets are today versus where we were when we went into the industrial recession in '15 and '16, it strikes me that as we look at the number of end markets that are down or negative right now, it's much more broad based. Do you worry at all that heading into calendar year 2020, we're facing much broader decline when you include automotive, heavy-duty truck, you take the impact of Boeing 737 MAX, if that production schedule declines? It looks to me like we've got a pretty broad-based set of end market declining.
Tom Williams: Okay. Ann, it's Tom, I'll make a comment, let me touch on the MAX real quickly for a second. So the MAX for us, in our guidance we put in 42 months and because it's first fit and most of our content there is very low margin, it's immaterial to us pretty much of that schedule is to change, but I just want you to know we put it in a 42. So I think we're in good shape on that. But I think your characterization is pretty accurate. This is a more broad based, but not as deep type of softness. The '15 and '16 industrial recession was a sharp contraction in natural resources. So you had all the natural resource related end markets, as we all remember, went down significantly and so that was more isolated. This is a little more broader based, and my comment earlier on that we have two-thirds of our markets and accelerating decline is an indicator that we have some pockets that are unusually down, things like semiconductor, power gen. But we're hopeful on power gen, that's starting to find a bottom, and that we are also hopeful actually on semiconductors, it's starting to find a bottom as well.
Ann Duignan: And yes, I just wanted to follow up on the Boeing 737. Isn't there a risk that again that becomes more broad based? It's not just about what you supply onto the airplane, but there are a lot of kind of second derivative impacts that could impact your business.
Tom Williams: I'm not exactly sure what you're referring to, because it would just be reflecting our bill of materials there. You are talking about the general supply chain that supports Boeing?
Ann Duignan: Yeah. I am just thinking about the impact of pulling down the schedule at one large manufacturing facility and how that might impact some of your industrial Distribution businesses.
Tom Williams: Okay. I see what you are saying. I think that would be very minor. Basically, you won't be able to find it. So they shut down the plant at Redmond for 20 days or whatever on a temporary basis. It would be immaterial to us as far as the implant, things that we do on the industrial side.
Ann Duignan: Okay, I'll leave it there. I appreciate that. Thank you.
Catherine Suever: Thank you, Ann.
Operator: Our next question comes from Nigel Coe with Wolfe Research. Your line is now open.
Nigel Coe: Thanks. Good morning, guys.
Catherine Suever: Hi, Nigel.
Nigel Coe: Yes. So I just want to touch on international orders. We saw the year-over-year deteriorating from last quarter on an easier comp. So I'm just curious if you maybe just talk about geographically where you saw the incremental weakness? And then I've got a follow-up.
Tom Williams: Yeah Nigel, it's Tom. So on international, that composition of that minus 8%, we had both EMEA and Asia Pacific at about the same, at high-single digit declines, and we had Latin America low-single positive -- remember Latin America's small, so it's not really enough to move the needle. And the way that trended in the quarter is that Asia Pacific weakened in May, but stayed stable in June. So May -- stepped down from April to May, but May and June were pretty well flat. And then Europe was pretty consistent. It was in that high-single digit level the entire quarter. So, no real variation going in April to June, and in Latin America we saw some variation, but in general, slight growth.
Nigel Coe: And then in Europe, have you seen any signs of a bottom there or is it still very consistent [indiscernible]?
Tom Williams: I think my description of the markets earlier on that I went through is a pretty good indicator for Europe as well. So that's how we would characterize here. The only difference in Europe will be maybe a little weaker distribution channel than we have in North America, but that will be the key difference.
Nigel Coe: And then my follow-up is really maybe just touching on what Ann was digging into. Going back to '15 and '16, we saw North America negative 12%. And certainly, the order numbers don't support that kind of deterioration. But maybe just take a step back and characterize what you're seeing today, what you're hearing from the field from your channel partners and characterize what you're hearing today to what you saw in '15 and '16?
Tom Williams: Yeah, Nigel, this feels very different, I mean, distinctly different. '15 and '16 was a commodity-driven reduction. If you remember, the commodity prices weakened dramatically. The only equipment that went in there, the demand dried up. We had oil and gas prices dropped dramatically. So it was a very different type of downturn. This one is, like I mentioned earlier on, is broader based. I think our forecast was realistic. Part of why we studied those pressure curves was just look at what history has shown us going back, -- data back 10 years and the financial crisis today, and that 12 months to 18 months interval was fairly consistent over those cycles. But the big difference for me is sharp spike down and natural resources before, this one a lot more broader based across a broader base of end markets, but not as severe.
Nigel Coe: Okay. Thanks.
Catherine Suever: Thanks Nigel. Liz, I think we have time for one more question.
Operator: Our last question will come from the line of Nathan Jones with Stifel. Your line is now open.
Nathan Jones: Good morning, everyone.
Catherine Suever: Good morning, Nathan.
Nathan Jones: Thanks for fitting me in. First question, I just want to follow up on this conversation about the shallowness of this pullback and perhaps its duration. Tom, it sounds like a lot of your outlook for when we recover from this is based on historical correlations and historical outlooks for the businesses. You did say this is a difference of '15 and '16. Do you need some kind of trade resolution here in order to see that recovery? Do you need to avoid a hard Brexit, are there geopolitical things here that maybe they don't make this decline any deeper than it is that you're projecting but maybe it makes it longer than you're projecting and just how you're thinking about those kinds of things?
Tom Williams: Yeah, Nathan, it's Tom. So I want to clarify, in case anybody took my comments the wrong way. We're not using a pressure curve history as to how we predict future sales. It's just one data point on top of our customers, our distributors, our divisions, et cetera, okay? So it's just one of many additions to the regression models we have, but it's just another element that I wanted to share. You know, I think that as far as this forecast, it does not assume any kind of trade resolution. So if we had some kind of trade resolutions, and there was a really positive, that would be upside to us. Obviously, this doesn't -- and resolution of Brexit or however that happens, that will be immaterial to us, it's not big enough to move the needle. And we're always subject to, if there was something geopolitical event out of our control, but I can't forecast those type of things. Let's not assume any kind of upside on trade. It's really mirroring the current order entry that we have for the full first half and then we get some help on comps. And as we went through the markets, this is all those markets that we think are going to go from negative to neutral or from neutral to positive, and then we track all these end markets and where they are in those four phases. And when you have two-thirds of them in Phase 3, that's an indicator that you're going to start to turn, your next phase is going to be [indiscernible] in decline, and that's what we put in the forecast. So there was a whole bunch of different angles we looked at it. As you know, forecast is only as good as the most current data and we'll update you every quarter and hopefully give you even better information.
Nathan Jones: Okay. My follow-up questions, a little more longer-term on Aerospace in the margins. You guys said 5.6% in engineering expenses in 2019, 4.5% to 5% in 2020. Does that continue to decline going forward? And then maybe you can comment on the mix as we go out a few years. I think you're fairly heavily on commercial OE at the moment, and that should switch as we go forward to a little more commercial aftermarket and clearly those are at opposite ends of the margin scale. So just any qualitative commentary you could give on how you think margins should progress in Aerospace over the next few years.
Tom Williams: Yeah. Nathan, it's Tom again. So we feel very good about margins in Aerospace in the future. The current mix of OE to aftermarket for Aerospace is 64% OE, 36% aftermarket. And you're right, that won't necessarily change much, say, over the next three years to five years. But once you start going beyond that and we start having shop visits and you are looking at the engine content and the airframe content, that is going to gradually start to move, a point or two movement on that is a big deal to us from a margin standpoint. The NRE, that 4.5% to 5% of our guiding for FY20, I think it's a pretty good future number to use as well. And so the other advantage that Aerospace has, besides the mix you referred to is that it still has ample opportunity just like the rest of the company on the Win Strategy. It's got opportunities on kaizen. It has additional opportunities and that all the entry into service part that they are doing today, which your first pump versus your 100th pump versus your 500th pump, we're going to work down that learning curve and we will have some cost advantages, not in this next 12 months, but as you work through that, we're going to have cost advantages on entering to service learning. So it's a business we're very bullish on from a margin expansion.
Nathan Jones: Very helpful. Thanks for fitting me in.
Catherine Suever: Okay, thank you, Nathan. All right, this concludes our Q&A and our earnings call. Thank you everyone for joining us today. Robin and Jeff will be available to take your calls should you have any further questions. Everybody have a great day. Thank you.